Operator: Greetings, and welcome to the Vertex Energy fourth quarter and yearend 2015 financial results conference call. [Operator Instructions] It is now my pleasure to introduce your host, Ben Cowart, Chairman and CEO. Please go ahead, sir.
Benjamin Cowart: Thank you, operator. Good morning, everyone, and welcome. Joining me today on the call is Mr. Chris Carlson, our Chief Financial Officer; Mr. John Strickland, our Chief Operating Officer; and Michael Porter, our Investor Relations Consultant with Porter, LeVay & Rose. The company expects to make forward-looking statements during today's call. Statements including words such as believe, anticipate, expect, and statements in the future tense are forward-looking statements. These statements involve known and unknown risks and uncertainties and are based on management's current views and assumptions regarding future events and operating performance. Number of factors could cause the company's actual future results to differ materially from its current expectations. I want to thank everyone for joining us today on Vertex Energy's fourth quarter and yearend 2015 earnings call. We will file our 10-K this afternoon after the market closes. I will start this call with a brief statement about our business, and then Chris Carlson, our CFO, will discuss our financial performance for both the fourth quarter and full year 2015. After Chris discusses these numbers, I'll provide some thoughts about our plans for 2016 and beyond. Looking back briefly at 2015, the substantial drop in commodity prices tightened the spreads between what we have to pay for our inputs and the prices our products command in the market. Tighter spreads had a negative impact on our business, not least of which was a slowdown in our overall expansion plans. We had to be much more deliberate in integrating our recent acquisitions, and we work constantly at managing our feedstock cost. We believe that the industry in 2016 will continue to feel the pressures that made 2015 difficult. However, we have seen so far this year significant improvements in our margins and our spreads. The business climate, we operate in should be turning more positive for the whole industry as we go forward. I'll now let Chris give you the financial results for the fourth quarter and the full year 2015. Chris?
Christopher Carlson: Thank you, Ben. Vertex Energy prepared its financial numbers unless otherwise noted in accordance with generally accepted accounting principles. For the fourth quarter ended December 31, 2015, we reported consolidated revenue of $20.9 million compared to $62.6 million in the fourth quarter of 2014, a decline of 67%. For the year ended December 31, 2015, revenues were $146.9 million compared to $258.9 million for the same period a year ago. In our Black Oil division, which includes our Marrero, TCEP, and Heartland business units, revenue was $17 million for the fourth quarter of 2015 as compared to $46 million in the fourth quarter of 2014, a decrease of approximately 63%. For the year ended December 31, 2015, revenues for the business segment were $103.9 million versus $170.9 million a year ago. The business was impacted by the decrease in commodity pricing, a drop in our volumes, and the fact that TCEP was not running during the fourth quarter. Commodity prices and overall volumes were also down. The Refining and Marketing division produced revenue of $2.7 million in the fourth quarter of 2015 versus $14.7 million in the fourth quarter 2014. The division reported $31.2 million for the year ended December 31, 2015, which is down 57% from the $72.7 million reported a year ago. Commodity prices and overall volumes were down. For the fourth quarter of 2015, Vertex Recovery division generated $1.2 million in revenue, a decrease of 33% from approximately $1.8 million a year ago. For the year ended December 31, 2015, the division had revenues of $11.9 million compared to $15.3 million a year ago, a 22% decline. Volume was down for the quarter as were commodity prices. For the fourth quarter ended December 31, 2015, our gross profit was $378,136 compared to a loss of $4.5 million during the same period last year, a 108% increase; a marked improvement in our margins. Gross profit for the entire year of 2015 declined 10% to $10.7 million compared to $11.9 million for the same period in 2014. Our gross margins for the fourth quarter and full year 2015 were 2% and 7%, respectively, which was 1 basis point higher than a year ago. Our per barrel margin during the quarter was up 115% year-over-year. Gross profit for the Black Oil division was negative $239,277 during fourth quarter of 2015, which was a 91% improvement over fourth quarter of 2014's loss of $2.7 million. For the year ended December 31, 2015, gross profit for the division was $3.5 million versus $7.2 million for the same period a year ago. Refining and Marketing's gross profit increased 148% to $417,623 in the fourth quarter of 2015 compared to a negative $875,239 a year ago. The gross profit for Refining and Marketing was $3.3 million for the year ended December 31, 2015, compared to $3.6 million for the year ended December 31, 2014. Vertex Recovery produced gross profit of $199,789 in the fourth quarter of 2015 compared to a gross profit of negative $921,847 a year ago, a 122% improvement. Gross profit for the year ended December 31, 2015, was $3.9 million compared to $1.2 million for the year ended December 31, 2014, up 229%. Selling, general, and administrative expenses were $7 million in the fourth quarter of 2015 relative to $7.3 million a year ago. Our SG&A included a carrying cost of $1.5 million during the fourth quarter related to our Nevada facility. For comparative purposes, SG&A of the operating businesses was $5.8 million for the fourth quarter of 2015. For the full year 2015, our SG&A was $24 million or $18 million excluding the carrying cost on Nevada compared to $19 million a year ago. As of February 2016, we no longer have the cost of the Nevada facility. We now have a savings of $1.5 million per quarter in 2016 relative to 2015. For the fourth quarter ended December 31, 2015, depreciation and amortization was $1.6 million compared to $1.3 million in the fourth quarter of 2014. For the year ended December 31, 2015, depreciation and amortization was $6.6 million compared to $4.3 million in the same period a year ago. Fair value of the warrants issued, which is accounted for as liability, provided a gain in value of $2.8 million for the fourth quarter of 2015. We reported a net loss of $3 million or a loss of $0.11 per fully diluted share in the fourth quarter of 2015. This compared to a net loss of $11.5 million or a loss of $0.08 per fully diluted share in the fourth quarter of 2014. For the full year of 2015, we reported a net loss of $22.5 million or a loss of $0.86 per fully diluted share compared to net loss of $5.5 million or $0.23 per fully diluted share. Our shares outstanding for the quarter were 28.2 million shares. As of December 31, we booked 6,069,000 reduction in contingent liability that is then recorded on the balance sheet related to the earn-out on the Heartland acquisition. Based on the current performance of Heartland and projections for all covered future periods, it was determined that it was unlikely this potentially earn-out payment would be realized. We also had a goodwill impairment within our Black Oil division as well as our Recovery division, specifically as it relates to TCEP and E-Source. The total amount of the impairment was $4.9 million. Our cash and cash equivalents were $765,000 as of December 31, 2015. I'll now turn the call back over to Ben Cowart, our CEO.
Benjamin Cowart: Thank you, Chris. We are almost through the first quarter 2016, and we believe that the used oil market is now oversupplied and inventories are being built. This is going to continue for some time at these low crude oil price levels. As we move further into 2016, the limited refining capacity for the U.S. will become more important to the generator of used oil at the street level. Currently, the refining capacity of the U.S. can handle about 42% of the used oil being generated. That strengthens our hand in managing our spreads. Also, we believe this low oil price environment and the charge for oil model will have another beneficial fact for Vertex. We believe that generators of used oil are going to mandate their oil be sent to re-refining facilities, where their cradle to grave liability is better addressed. We can help them close the liability loop in ways that other methods of disposal do not. This paints a bright future for the assets we own and our business in 2016 and beyond. Before we take questions, I want to revisit some of the points raised in our January 19 letter to shareholders, which highlighted our goals for 2016 and beyond. I want to spend just a moment and provide an update. First, we wanted to leverage our asset portfolio. We have a very strong asset portfolio, and when properly leveraged, we can use it to help us grow. On February 3 of this year, we took steps to enhance our balance sheet and we sold our Nevada facility located in Churchill County. That brought in $35 million, while eliminating $1.5 million in quarterly costs. The sale and related transactions brought our cash position to more than $10 million at the time of close. We also used $16 million of those proceeds to pay down our term debt. We have lowered the amount owed to Goldman Sachs to approximately $6 million today and our total long-term debt to approximately $13 million. Meanwhile, we are exploring various options in order to optimize the value of our Myrtle Grove and CMT facilities. We are satisfied with the situation at the Marrero facility, where we are running at full production levels and where our feedstock supply is more than adequate. Second, we want to manage the feedstock cost. We told you that the industry needs to move to a charge for oil model to maintain spreads in this uncertain commodity market. Vertex has been at the forefront of this change. Our charge for oil was at $0.12 a gallon at the end of the year, and currently is at $0.27 a gallon at the end of February 2016, so just in the last few months we've made significant headway as the industry began the charge starting January 2016. So we continue to take steps to improve our charge for oil and we'll continue to make progress as the industry continues to make progress. Third, we wanted to develop our finished marine fuel. Our vacuum gas oil produced at our Marrero facility can be sold into marine fuel market at improved pricing relative to traditional VGO values. We intend to aggressively pursue this market this year, the relatively new eco-fuel requirements fit well with our existing process capabilities, particularly in the Gulf Coast, and we anticipate gaining market share throughout 2016. Fourth, we want to be part of the consolidation of the used oil collection sector. We believe that the current depressed commodity markets will result in consolidation in the used oil collection space similar to the consolidations that occurred in the re-refining sector over the past two years. We intend to be a participant in this anticipated collection consolidation as we seek to grow our own collected volumes for further processing at our various facilities. We believe that this consolidation combined with our shift away from pay for oil and the continued shrinking of alternative markets for used motor oil will have the overall impact of reducing feedstock cost into the future. Fifth, we wanted to pursue alternative product markets. We will continue to work to improve margins by potentially creating additional finished products such as marine fuel, finding new buyers of our intermediate products, and generally moving our products to higher margins uses across our product categories. Six, is launching a finished lubricant product line much like our marine fuel development, given our significant base oil processing capabilities, our collection footprint. The next logical step for Vertex Energy is to produce our own line of finished lubricants that can be sold into our geographic collection footprint. By doing so, we believe we can improve margins as well as capture the spread between base oil pricing and finished lubricant pricing, while creating additional value with generator relationships that we serve. In summary, we continue to face a challenging commodity price market. However, we have survived the decline in crude oil prices from over $100 per barrel to less than $30 per barrel. We have done so by being diligent in our business operations, reducing our cost, leveraging our asset portfolio, leading the shift to a charge for oil model and exploring new markets with flexibly technologies. I'm thankful for our management team and employees for their persistence and tireless efforts. Operator, we are now ready to take a limited number of questions, pertaining to the matters discussed on this call. Remember, we are unable to discuss any information or business plans, which are not publicly available. Thank you.
Operator: [Operator Instructions] Our first question today is coming from Eric Stine from Craig-Hallum.
Eric Stine: Maybe just sticking with the charge for oil model, you mentioned where you stood at the end of February. Is that a trend you expect to continue? And maybe how do you see that trending throughout the year? And then, I think now what you're paying aggregators is actually cheaper than the collection side. When do you see that flipping versus your collections on a net basis?
Benjamin Cowart: Good question, Eric. We do expect our average charge per gallon to continue improving through March and into the second quarter. I think the industry is working really hard collectively now to get their spread back. That's helped us this year move quickly. As we stated we were about $0.12 a gallon average charge at the end of 2015. And from January 1 to February, we moved that to $0.27. So that's because the industry is also moving on the same initiative. So that's going to help us continue to expand our charges. We price our third-party supply into the refinery of a index. So as oil prices come down, the index comes down immediately. And so with the discounts we apply to our index for the purchase of third-party oil, the pricing today at our gate is less than our oil coming from our own collection operations. We know that's temporary. And over many years, our collection volumes have always provided good contribution margin to the business. So that gives you an idea kind of how fast the industry is moving and the pressure the industry is under just in that alone. So we have work to do on our collection business. And I think we're making great progress, but there is still more work to do.
Eric Stine: Could you just -- I mean I know it's early on, but you have the swap agreement in place. What kind of impact has that had thus far? And what kind of impact can that have through 2016?
Benjamin Cowart: Yes, I mean, that's something that we've really not been able to execute on to date, because obviously the Bango refinery is in a startup mode, so there has been no oil delivered in. And we'll continue to wait for those opportunities to arise, so not a lot to report related to the swap agreement at this time.
Eric Stine: Maybe last one for me. Just on the ECA compliant marine fuel, if you could talk about mix in the quarter and maybe where you see that headed throughout 2016? And are there steps you need to take, so that you're able to -- that all your VGO goes to the marine market?
Benjamin Cowart: Yes, so we're real pleased in the progress we've made in 2016. We've got an extended process for this fuel that comes off our VGO line, and it's limited in its production capacity at the moment, where we're working on expanding that beyond where it is today. We're close to being sold out with our production capacity at this point and the expansion is not difficult. We definitely see more growth in 2016 and we hope by 2017 that the majority of our VGO product will find its way to the ship engine based on this initiative.
Operator: Our next question today is coming from Michael Hoffman from Stifel.
Michael Hoffman: What's your thought about TCEP this year? At these prices do you just keep it shuttered for the time being?
Benjamin Cowart: Yes. I think that's our view based on the low oil prices. TCEP is a great technology. It has a high variable cost. And so as oil prices collapse, the spread got very thin and we felt that additional demand in the Gulf for the used motor oil kept pricing very tight for used oil. And so we see a bigger benefit by less demand in the market. So we feel like that will continue until the spread with TCEP is strong enough to put more pressure on the used oil supply.
Michael Hoffman: And then at the current selling price environment, for the things you do sell today, what does the charge for oil number need to be for that business to be profitable at the operating line and generate free positive cash?
Benjamin Cowart: That's a big question that varies by location. So charge for oil in a remote market where we've got higher freight cost needs to be much higher than charge for oil right outside the door of the refinery obviously. And so I think the whole industry is working with the same general cost of transportation from a collection standpoint, but I think the aggregation cost differs. So it just depends on where you're pulling the oil in from and what the cost is. So if I just had to pick a number, I'd say, the industry, we got to get pass $0.50 a gallon and in some cases, $0.70 to $0.90 out to remote locations in order to handle all the logistic cost to get that product in.
Michael Hoffman: Fair enough, and I appreciate that, given that only about 10% of all oil gets direct hauled to an end market, so all of it's got to get hauled under this logistic cost. What's the probability based on what you're seeing as behavior, that we see $0.50 as an industry in 2016?
Benjamin Cowart: I think we're going to get there. I think those remote markets may be challenged. And I believe that you could see local markets open back up that are currently closed off. These would be small burners in different utility or end users that can look at the BTU value of a used oil gallon and try to burn it on a lower cost BTU basis than natural gas. We haven't really seen a lot of switching from natural gas back over to used oil at this point, but I got to believe that there's going to be some pressure way out in these markets that could happen.
Michael Hoffman: And then when you think about the aggregator and their role and then your comment that the market is oversupplied. When are you in a position to say to the aggregator, I'll take your oil, but you're paying me something or minimum it's zero.
Benjamin Cowart: Yes, I'm amazed at where we're at today. And I believe if oil prices continue in these low numbers and the oil has no other markets or a portion of oil has no other markets available, then that could be a reality. I would had a difficult time saying that six months ago, but we do believe that there's not enough market for the used oil, and markets are efficient, and so it could get to that point. We're not paying very much today, but I would say that those times could be ahead of us if we see more pressure on the crude oil barrel, the finished product pricing. And I know, in California, for instance, they're already at that level where third-party oil is being dropped at facilities at a charge.
Michael Hoffman: And then, for Chris, based on the macro environment today, all the things you've done with the balance sheet and decisions around cost, if the business conditions are what they are right now and they don't change, does Vertex breakeven or generate positive cash this year on a free cash flow basis, so cash flow from ops less all capital spending?
Christopher Carlson: Yes. I think with all the initiatives that we put in place during Q4 and Q1, and the changes that you just referenced, and cost and the go forward environment, yes, that's what we're targeting.
Michael Hoffman: So then that would suggest given the cash on hand from the transactions done in February, you'd have resources to participate in the industry consolidation as it begins around the collection side?
Christopher Carlson: Well, as far as consolidation in the industry, I mean we would have to look at other resources outside of our current balance sheet to do anything further.
Michael Hoffman: So would that include possibly selling other assets?
Benjamin Cowart: It could, Michael. It could include a recapitalization of the assets that we have. We think there's some significant opportunities at the bottom of this market that we're going to be very creative about, but we do have capacity in the assets, in some less strategic assets, where we can get the liquidity that we need to take advantage of the expansion opportunities.
Operator: Our next question is coming from Walter Liptak from Seaport Global.
Walter Liptak: I wanted to ask about the fourth quarter. And it looks like you've made some adjustments to the gross margin, that there might have been some add backs. And I wondered if you could help us get from the annual number to the fourth quarter gross profit number?
Christopher Carlson: I mean, are you referencing, I guess, just the improvement in gross profit to a positive $378,000?
Walter Liptak: No, when we back into -- because there's no fourth quarter income statement that we saw, maybe it will be in a Q, but when we try to back into, we're coming up with a gross profit loss. So I'm wondering if there is an adjustment in there to get to the statement they've got in the press release about the profit?
Christopher Carlson: No, there is now major adjustment. And as you noted, at the end of today or the close of business, we'll have the K filed and all of the details for the fourth quarter will be in the K to see or show how we get to or how the gross profit is $378,000.
Walter Liptak: Just thinking about next year, just some numbers like, what are you expecting for CapEx and D&A in 2016?
Christopher Carlson: As of right now, we've met with our team and what we're looking at as of today for 2016 CapEx is around $2.5 million to $3 million. Depreciation and amortization should be fairly consistent, so annualized this should be just over $6 million, about $6.2 million. Interest with the current debt that we've got, annualized, will be about $1.4 million.
Walter Liptak: And that SG&A number, adjusted to $5.8 million, is that the run rate that you think you'll have per quarter or is there some changes to it throughout the year?
Christopher Carlson: We've implemented some changes there in Q1, so our expectation is that that's going to start to come down as we get to the end of the year.
Walter Liptak: And in the first quarter, given the work that you've done on the spread, are you expecting gross margin to be positive in the first quarter?
Christopher Carlson: There has been a lot of work done on the spread, and we're continuing to work on them. The challenge that we have seen during Q1 is that oil prices took another leg down and came down again further even from Q4. So that's going to be a challenge on Q1. Now, at the end of Q1 we've seen oil prices come back a little bit, which will help, but it's going to be a challenge nonetheless against the entire quarter.
Walter Liptak: And then, Ben, I want to ask about the consolidation of the collectors. Given how bad this downturn has been, does it make sense yet to start using capital or cash to make acquisitions, just because -- I mean, it's an uncertain world, and where things, oil prices, six months are a year from now? Wouldn't it be a better strategy to hold off and just see where we are in six months or a year?
Benjamin Cowart: Yes. So Walter, I think that's a very fair question and that has been our tact for the last 12 months. We've been in discussions and working on certain opportunities and we'll continue to pick the right time to make that move, but I do believe we're getting closer to getting some things one as opposed to putting them off much longer. So I think we see a lot of light at the end of the tunnel related to the business, the spreads. If you just follow on our trailing 12 recovery of EBITDA and just the opportunities that are presenting themselves, we're pretty positive that we're going to get the timing right on that and not overplay.
Walter Liptak: How much capital do you expect to put to work, like in the next year for that consolidation?
Benjamin Cowart: Other than just the maintenance CapEx that Chris indicated, anything else is going to be dependent on the decisions we make and the timing of those decisions, which we're not really prepared to speak to.
Operator: Thank you. We have reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments. End of Q&A
Benjamin Cowart: Thank you, operator, and thank you everyone for dialing in. We really appreciate everybody's interest in the business. And we look forward to our first quarter call. I think we'll be able to shed some additional light on the business, as we've discussed today. So have a good day, and thanks again for dialing in.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.